Operator: Thank you for holding and welcome to Rockwell Automation's Quarterly Conference Call. I need to remind everyone that today's conference call is being recorded. Later in the call, we will open up the line for questions. (Operator Instructions) At this time, I would like to turn the call over to Rondi Rohr-Dralle, Vice President of Investor Relations. Ms. Rohr-Dralle. Please go ahead.
Rondi Rohr-Dralle : Thank you Annette. Good morning everyone. Apologize for the delay at the beginning of this call. We had some technical difficulties. I believe they are resolved now and we can proceed. So thank you for your patience on that. Also thanks for joining us Rockwell Automation's Third Quarter Fiscal 2014 Earnings Release Conference Call. With me today are Keith Nosbusch, our Chairman and CEO and Ted Crandall our Chief Financial Officer. Our agenda includes opening remarks by Keith that include highlights of the Company's performance in the third quarter and year-to-date plus our outlook for the remainder of the year. And then Ted, as always will provide more details on all of that and we’ll take questions at the end of Ted’s remarks. Our results were released this morning and the press release and charts have been posted to our website, at www.rockwellautomation.com. Please note both the press release and charts include reconciliations to non-GAAP measures. A webcast of this call is accessible at that website and will be available for replay for the next 30-days. Before we get started, I need to remind you that our comments include statements related to the expected future results of our company and are, therefore, forward-looking statements. Our actual results may differ materially from our forecasted projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all of our SEC filings. So with that, I'll hand it over to Keith.
Keith D. Nosbusch: Thanks, Rondi. Good morning, everyone. I know it’s been a busy earnings season for all you so I appreciate your time today. I hope you all get to enjoy some downtime later in August. The first portion of my remarks will cover the highlights for the quarter. So please turn to Page 3 in the slide deck. Sales and earnings came in as we expected this quarter. Organic sales grew 2% year-over-year. We experienced strong 7% growth in Architecture & Software but a difficult comparison in our Solutions & Services businesses led to a 2% sales decline in Control Products & Solutions. More importantly, we saw sequential growth in both segments and across all regions except EMEA which had a 1% sequential decline. This sequential growth reinforces our view of continued economic growth. Let me give you a little more color by region and by vertical. All of the growth rates I mentioned will be for year-over-year for organic growth. Sales growth in the U.S. remains solid at 5%. We continue to see broad-based industry performance with strength in oil and gas, particularly in shale. In Canada, sales were down 8% with a significant decline in Solutions & Services. We are still seeing weaknesses in resource-based industries; however, the product businesses grew nicely. In EMEA, sales growth of 1% was lower than growth in the first half, again, mostly due to the variability in our Solutions businesses. OEM sales remained healthy. Sales in Asia Pacific were flat because of the large sequential sales increase in last year's Q3. As expected, China sales were down 5% year-over-year, but up mid-teens sequentially. We're starting to see an increase in consumer packaged goods manufacturing investment in China, particularly in brewing and dairy. And as you know, consumer goods is a sweet spot for us. Latin America was flat year over year due to a very difficult comparison as the region grew 23% last year. Mexico sales were flat and Brazil sales were down this quarter, but we expect to see a return to double-digit year-over-year growth in both countries next quarter. Logix was up 7% in the quarter. We continue to see good adoption of our midrange controllers with OEMs. Before I end my comments on top line, let me share a couple of other data points. Our Motion Control business was up double digits in the quarter which is another indication of success with OEMs. Process grew 6% in the quarter. For the full year we now expect process growth to be in the mid single-digit. This is below our previous projection, primarily due to project timing. I'll just touch on earnings in the quarter, because Ted will cover the details. On 2% sales growth in the quarter we were pleased with both year-over-year and sequential operating margin expansion, and free cash flow in the quarter was very strong at 131% of net income. Looking at the year-to-date results on organic sales growth of 5%, we've expanded segment operating margin by 70 basis points. Adjusted EPS is up 6% for the year and would have been higher without the significant headwind from a higher tax rate. Delivering these results while still funding investment spending is a testament to the viability and solid execution of our growth and performance strategy. So onto the outlook. With three quarters behind us, we've narrowed the range of organic growth guidance to 4% to 6%. We continue to expect underlying market growth. On the revised sales growth, we've also narrowed the adjusted EPS range to $6.10 to $6.25. The midpoints of both ranges remain the same. Ted will go into more detail on guidance. Before handing it off to Ted, I would like to remind you that Automation Fair is in Anaheim this year, and we'll be holding our investor conference on Thursday, November 20, one week later than last year. Although Automation Fair is a customer event, it's a great opportunity for investors and analysts to deepen their understanding of Automation and learn more about our capabilities as well as those of our partners. This year, our focus will be on the connected enterprise, and how Integrated Control and Information, we also refer to this as ICI, can help our customers become smarter, more productive and more secure. ICI enables us to expand the value we provide to our customers, which results in superior returns for our shareholders. So please mark your calendars and we hope to see many of you there. In closing, I want to thank our employees and partners for their ongoing commitment to our Company's success and to our customers' success. I appreciate and I know our customers appreciate the passion, innovation and integrity and excellence that is evident in how we do business everyday. Here is Ted to provide more details on the financial results for the quarter and our outlook for the remainder of the fiscal year. Ted.
Theodore D. Crandall: Thanks Keith. Good morning. I’ll start with Chart 4, which is the third-quarter results summary. So a pretty straightforward quarter, slower growth, pretty much as we anticipated against what was our most difficult year-over-year comparison quarter. Earnings were also inline with our expectations. Revenue in the quarter was $1,650 million, up 2% compared to the third quarter of last year. Organic growth was also 2%. Segment operating earnings in the current period were $326 million, up 3% compared Q3 last year. General corporate net was $18.1 million in Q3 compared to $20.9 million in the same period last year. The adjusted effective tax rate in the third quarter was 27.6% compared to an adjusted effective tax rate in the same period last year of 22%. In Q3 last year, we benefited from a large favorable discrete tax item. Adjusted earnings per share were $1.49 that compares to $1.54 in the same quarter last year. The higher tax rate reduced adjusted earnings per share by $0.11. Average diluted shares outstanding in the quarter was 139.6 million. We repurchased approximately 1 million shares in the third quarter at a cost of about $122 million. At the end of Q3, there was $191 million remaining under our $1 billion share repurchase authorization from 2012 and the Board approved an additional 1 billion repurchase authorization on June 4. Through the first nine months of the fiscal year, we've repurchased 2.9 million shares for approximately $344 million, so we’re running a little ahead of the pace to hit the $440 million full year repurchase expectation that we talked about on previous earnings calls. With only one quarter left in the fiscal year, it's likely that we will spend more than the $440 million that we previously projected. Moving to Chart 5. This is the graphical version of total Company results for the third quarter. As I mentioned, year-over-year sales growth was 2%, sales increased 3% sequentially that’s a more typical Q2 to Q3 sequential increase. Last year the sequential increase form Q2 to Q3 was 7%, primarily driven by the Solutions & Service businesses that experienced an 11% sequential increase. Total segment operating margin in Q3 was 19.8%, up 20 basis points compared to last year a modest improvement that's in line with the 2% sales growth. Higher sales and favorable mix were partially offset by increased spending. While on the chart, our trailing four-quarter return on invested capital was 29.6 at the end of the third quarter. Now please turn to Chart 6 which summarizes the third quarter results of the Architecture & Software segment. Looking at the left side of this chart, sales reached $715 million up 7% year-over-year as reported and organically. Sales increased 4% sequentially, so we have seen continued strong revenue performance in the segment. Operating earnings increased 9% year-over-year and the segment operating margins for the quarter was 28.6% that’s an increase of 50 basis points compared to Q3 last year. 7% organic growth provided considerable volume leverage, which more than offset the effect of increased spending. The next page, Chart 7, covers our Control Products & Solutions segment. Compared to Q3 last year, sales were down 2% as reported and organically. The Product businesses grew 2% year-over-year and Solutions & Service businesses declined by 4%. As I mentioned Q3 was a particularly difficult year-over-year comparison for the Solutions & Services businesses. Sales for the segment increased 2% sequentially, with the Product businesses and Solutions & Service businesses, both up about the same. Book-to-bill for Solutions & Service businesses 1.06 in Q3, on the right side of this chart, you will note that operating earnings were a little lower than last year and operating margin declined by 60 basis points year-over-year primarily due to the lower sales. The next chart is the geographic breakdown of our sales in the quarter and year-to-date. Keith covered the regional performance in the quarter, so I'll just make a couple of comments on the year-to-date results. It's been pretty well-balanced growth through the first nine months, with growth in every region with the exception of Canada. Canada is the region with the largest percentage of sales in Solutions & Services and the slow down in the oil sands that we've talked about on previous earnings calls has had a significant negative impact on the year-over-year performance. Clearly, the U.S. continued to be our best-performing region was 7% organic growth through the first nine months, EMEA is up 3% year-to-date. We continue to do well with OEM customers. Asia-Pacific is up 5% year-over-year through June with China up 8%. And Latin America is up 4% with Brazil and Mexico both up about 8% through the first nine months. Generally the year-to-date growth rates by region are pretty much what we’re expecting to see for the full year. I’ll turn that Chart 9, which is free cash flow. Free cash flow for the quarter was $274 million, another strong quarter. Year-to-date conversion on adjusted income is about a 106%. Given the year-to-date performance we will probably finish the year somewhat better than the previously projected conversion of about 100%. Turning to the next chart, this provides an EPS walk from the first nine months of last year to the same period this year. Looking at the bridge, adjusted EPS was up 6%, increasing from $4.09 to $4.32. That’s on organic sales growth for the first nine months of 5%. The 6% adjusted EPS growth despite a pretty significant headwind from tax rate, which you can see here as worth about $0.22. Excluding the effect of the higher tax rate, the adjusted EPS growth would have been about a 11%. Segment earnings were up 9% with incremental margin of about 38% in the first nine months. And that takes us to the final slide, Chart 11, which addresses our current outlook for fiscal 2014. As Keith mentioned, we've narrowed our sales and earnings guidance but maintain the previous midpoints. We expect sales to be about $6.64 billion at the midpoint. We expect organic growth for the full year of about 4% to 6% you can think of that is plus or minus about $50 million around the midpoint. We expect the net impact of currency and acquisitions to reduce sales by about 50 basis points. We expect segment margin for the full year to be a little above 20%. We are projecting adjusted EPS in the range of $6.10 to $6.25. We now expect the adjusted tax rate for the full year to be closer to 27.5%. Previously, we expected to realize a discrete tax benefit in Q4 that we now believe we will not occur to next fiscal year. And finally, we expect general corporate net expense to be about $80 million for the full year that’s about $5 million lower than our previous guidance. And with that, I'll turn it over to Rondi.
Rondi Rohr-Dralle: Great. Thanks Ted. Before we start Q&A, I'd just like to ask that you limit yourself to one question and a follow up and this will allow us to get to as many callers and questions as possible. So we appreciate your cooperation and Annette, let's take our first question.
Operator: Thank you (Operator Instructions) Okay and the first question come from the line of John Inch from Deutsche Bank. Please go ahead and ask your question.
John G. Inch – Deutsche Bank AG: Thank you. Good morning, everyone.
Keith D. Nosbusch: Good morning John.
Rondi Rohr-Dralle: Good morning John.
John G. Inch – Deutsche Bank AG: Good morning. What was the impact, if you could quantify it, please, of year-over-year and sequential spending in the quarter? And how does that sort of play out in the fourth quarter?
Keith D. Nosbusch: Yes, so spending was up about $26 million year-over-year, which is about 6% and it was up about $6 million sequentially, which was about 1% sequential increase. And in the fourth quarter we do not expect any significant sequential increase.
John G. Inch – Deutsche Bank AG: And preliminarily, Keith and Ted, how are you thinking about sort of investment spending against the backdrop? And I admit, I realize you have comparison issues, but the macro isn't exactly rocking and rolling, no pun intended. So how are you thinking about sort of this investment spending, given that we're sort of one quarter away or less than one quarter away, from your fiscal year next year?
Keith D. Nosbusch: Well as far as spending for next year, we haven't done any preparation yet for the annual plan at this point. But we certainly have put in additional incremental spending this past year. And we are very pleased with that. We put it in areas that are going to help us mid and long-term in both product development and in the R&D areas and then also in customer facing resources in different regions. So right now we are happy with that investment spending, you saw continued margin improvement in ANS where a lot of that spending has been put and we certainly feel that that will pay dividends down the road and we are pleased that we were able to start spending earlier this year than we have in the past year so very pleased with those investments and we expect them to pay off in the long run.
John G. Inch – Deutsche Bank AG: I guess what I'm trying to understand, Keith, is: The degree to which the spending was concurrent with, say, capacity or sales resourcing versus forward. In other words, the spending we've made this year, does that give you a lot more runway for next year? That’s really all I am trying to understand.
Keith D. Nosbusch: Well, if the runway means that we won't increase spending again, I think that will be dependent upon what we think the revenue performance will be next year. We certainly believe that our spending does not correlate directly to quarter-by-quarter of performance and as we've said our spending is really in anticipation of six to eight quarters out which is new product development time as well as new customer ramp-up time to full productivity. So we hope quite frankly we hope we can continue to increase spending next year in development and in customer facing resources and if the revenue projections continue to enable that, we certainly have more opportunities in our businesses to invest in.
John G. Inch – Deutsche Bank AG: That's fair. And then just as a follow-up, what is your frontlog telling you? And obviously, this earnings season has been characterized by pretty slow organic growth. How are you guys thinking about maybe the cycle and this notion perhaps the cycle has peaked for automation investment in terms of, say, North America, rest of world?
Keith D. Nosbusch: Our frontlog has remained stable over the quarter, and and it's been at a good level throughout the year. So we did not see a meaningful change in the frontlog this past quarter. So we think it's still pretty viable and certainly is what we are viewing as why we are expecting higher year-over-year growth in the fourth quarter. So it's our frontlog, we built our backlog last quarter. So we think those are both good indicators why we are able to continue to expect the high, I'm sorry not high, higher year-over-year growth in the fourth quarter.
John G. Inch – Deutsche Bank AG: Thanks very much.
Keith D. Nosbusch: You’re welcome, John thank you.
Operator: Thank you. The next line of question comes from the line of Scott Davis of Barclays Capital. Please go ahead.
Scott R. Davis – Barclays Capital: Thank you operator. Good morning guys.
Keith D. Nosbusch: Good morning Scott.
Scott R. Davis – Barclays Capital: I'm trying to figure out a little bit of how much resource-related stuff, and mining, in particular, impacted your non-U.S. business, because the extent of deceleration was a little bit surprising outside of the U.S. And I'm just trying to understand, is there something broader than resource and mining, or is it just a fairly big impact from that?
Keith D. Nosbusch: Sure. I think there's two things, Scott. Certainly mining, if you look at Latin America, and you look at South Africa in the EMEA region and in Australia, in our Asia-Pacific region Australia, China, and to some degree Canada quite frankly would also be impacted. That's one of the reasons why you've seen the decline year-over-year in our Solutions & Services business with a lot of it coming from really our motor control both medium voltage and motor control centers. So that's one area and I would say probably a significant part of the declined this quarter is because of those businesses in the mining industry. The second is just some project timing. And you know we’ve talked about this all the time that it is hard to look at exactly how projects come in and go out on a quarter-by-quarter basis in a comparison year-over-year and quite frankly last year was a very, very strong shipment quarter and this year some projects slipped out and it was a little lighter in general. We knew it was going to be lighter which is why we mentioned that in the last quarter. But also at the end of the quarter a few things slipped into Q4. So its really those two dynamics that we are going on that we really think is what is behind the solutions and performance minus 4% in the quarter.
Theodore D. Crandall: I think to your point Scott we view what you are referred to as deceleration of more as kind of a project timing issue than an underlying market conditions issue. We had some tailwind from project timing in the first half and we've got some headwinds now.
Scott R. Davis – Barclays Capital: That's really helpful. Guys, just – and I'm asking you to take how your crystal ball. I know it's hard in the businesses you're in, but Canada was a bit surprising. We talked about resource industries we know, but some lot of – of your peers have seen a snapback in Canada this quarter, and a better order book for next quarter. Do you have a sense of when that business flat lines out and starts to improve again, or at least, are we at a, what I'll call, a cycle low at this point? If sense of that.
Keith D. Nosbusch: I mean given that its project Canada is a very heavily project oriented region for us. It's very hard to say exactly when we are at the bottom or not, but we do I mean specific to your question we do expect sequential growth in the low single-digits about 4% in Canada in our fourth quarter. So if that happens that sequential growth that we've seen this quarter.
Scott R. Davis – Barclays Capital: Yes that would be a big deal. You go from a negative 8% to a positive 4%, I would imagine that has a…
Keith D. Nosbusch: We saw this growth for up 4%. So we think we are in the rebound stage of the investments to your point
Scott R. Davis – Barclays Capital: Okay.
Keith D. Nosbusch: So Q3 this quarter we saw a little sequential growth and we think that bodes well for going forward in the resource industries.
Scott R. Davis – Barclays Capital: Okay great thanks, I’ll pass it on. Thanks guys.
Keith D. Nosbusch: Thank you Scott.
Operator: Thank you for your question. The next line of question comes from Rich Kwas of Wells Fargo Securities. Please proceed.
Richard M. Kwas – Wells Fargo Securities, LLC: Hi, good morning everyone.
Keith D. Nosbusch: Good morning Rich.
Richard M. Kwas – Wells Fargo Securities, LLC: Two questions: On process – so you brought the full year down – full-year growth down. You referenced timing of projects. Where, geographically, are you seeing the biggest push-outs? I imagine there's – we covered Canada a bit, but if you could provide some more color on that? And then just, are there large projects, I assume that are going to help next year as well, and some of those projects that maybe thought were to hit this past quarter have been pushed out longer, or any additional color there, Keith, would be helpful. Thanks.
Keith D. Nosbusch: Sure. Well I think where we've seen the biggest push outs have been in Asia Pacific in particular China, and then also in Latin America. Those would be the two regions that had the greatest effect. I don't think we are ready to talk about 2015 yet, but our frontlog in process in our solutions businesses doesn't indicate that we are going to see any significant change in the near-term. So, we are feeling optimistic about the solutions business going forward.
Richard M. Kwas – Wells Fargo Securities, LLC: Okay, and then just broadly speaking about projects in general – so, some of the push out in terms of Q4, typically solutions is pretty important to Q4 results. What are you assuming in the guide in terms of just the ramp and recovery of stuff that may have been delayed this quarter? Is there anything unusual in terms of bigger than normal rebound on delivery of solutions?
Keith D. Nosbusch: Yes, I would say what we are expecting is a pretty normal Q3 to Q4 ramp in solutions. And we are reasonably comfortable with what's in the guidance based on what's in backlog at the end of Q3.
Richard M. Kwas – Wells Fargo Securities, LLC: Okay and I just the quick follow-up on I know 2015 it's early but on the tax rate, Ted you would talked about the discrete items affecting next year should we think of the tax rate being lower in next year preliminarily?
Theodore D. Crandall: I mean I think we’re talking about at this little bit in the past I think going forward kind of at these levels of income, something around 27% is probably a pretty reasonable tax rate to think about.
Richard M. Kwas – Wells Fargo Securities, LLC: Okay. Thank you.
Keith D. Nosbusch: Thank you, Rich.
Operator: Thank you for your question. The next line of question comes from the line of us Steve Tusa of JP Morgan. Please go ahead.
C. Stephen Tusa – JP Morgan: Hey, good morning.
Keith D. Nosbusch: Good morning, Steve.
C. Stephen Tusa – JP Morgan: Just a question on Latin America, you mentioned that you know expected to come back in this project timing I mean it sounds like it's kind of a debacle down there especially in Brazil. Now you guys have some consumer exposure and you’re definitely a high-quality franchise in that market, but its macro just sounds pretty bad down there. What are you seeing that kind of gives you the optimism in the face of that?
Theodore D. Crandall: Well, I would say right now our backlog in our solutions businesses. We feel good about the Q4 and I mentioned that we are expecting to see double digit year-over-year growth in both Mexico and Brazil in Q4 and in a lot of cases that will be because of the solutions backlog that we expect to ship in the fourth quarter. Now obviously if to your point there is a bigger, I'll just say external factor that creates more problems of particularly with the elections going on in Brazil, there's definitely some political/economic risk in Brazil as we walk up to the fall elections and I would say it's probably a little dicier than it would have been in a normal fourth quarter for us. So we are watching it. At this point in time we haven't seen anything that would deviate from – that would causes us to deviate from our current expectations, but we know what happens in political elections.
C. Stephen Tusa – JP Morgan: Right. And then, obviously, beyond your control. And then, Ted, just on the margin in the fourth quarter, last year there was a pretty significant amount of noise. I mean, in architecture & software, your margin was up 200 basis points sequentially, but if you look back in the model, it really has a tendency to be flat to even down sequentially. I still don't know if that makes sense when you strip out all the noise from the fourth quarter of 2013, so maybe given these segments are kind of moving around a little bit in the fourth quarter, can you give us some sort of a high-level framework for how these two fit into that annual margin guidance for the fourth quarter?
Theodore D. Crandall: Well, I think consistent with prior practice I'm probably not going to help a lot on a by segment look at margins in the fourth quarter, but what I would say is we are expecting and it’s obviously can do the math it's applies to guidance a pretty significant step up sequentially and margin, which is largely a consequence of just significantly higher sales as we go from Q3 to Q4.
C. Stephen Tusa – JP Morgan: All right. Okay, thanks. That's helpful. Thank you.
Keith D. Nosbusch: Thank you, Steve.
Operator: Thank you for your question. The next question comes from Julian Mitchell of Credit Suisse. Please go ahead.
Julian Mitchell – Credit Suisse: Hi, thank you. Just a question around some of the order activities, I guess some of your peers have sounded pretty positive around process automation orders. Your sales on the last call sounded good about pulp and paper, and oil and gas, demand. So I realize that there's a kind of a pause between project placement and the execution of the project. But maybe give a sense of how much your process business was up in orders, and what the overall backlog did year-on-year?
Keith D. Nosbusch: With process our orders were I think flat year-over-year in the quarter. And we did build process backlog in the quarter. So at this point, we feel that we will continue to see growth in our Q4 and certainly into the start of 2015 that we basically think of backlog as one to two quarters in our business and I would say we continue to feel that oil and gas will drive the big portion of our process business with continued interest in activity and quotation in the chemical side of the business and that's an area where we think we can continue to grow based upon our process control capabilities, our safety capabilities, and our motor control capabilities and we think that will create more opportunities and historically we've had in the chemical segments. So continued strength in oil and gas to your point of pulp and paper in the U.S., anyway investments are being made and our most difficult process areas will be that the mining and the metals will be the two most difficult segments going forward and we really don't see a significant improvement in either one of those in the short-term.
Julian Mitchell – Credit Suisse: Thanks. And then within the EMEA region, the organic growth dropped back a bit. You had sort of four quarters of 3% to 5% growth. Was the firm you saw just a comps issue? And I guess, was there any difference you saw between emerging EMEA and the trends in sort of Western and central Europe in terms of customer behavior?
Keith D. Nosbusch: Well, it was probably another generally typical quarter with respect to the geography and we saw greater growth in the North and particular Germany and the U.K. and I would say in emerging some greater difficulty because of Russia. Russia was a difficult third quarter for us, obviously, everyone understands what's going on there. And South America – South Africa I’m sorry continued to say a weak although the mining has been the mining strikes have been stopped and we are starting to see some activity, but that did not happen in the third quarter at all. So the emerging is split with growth in Eastern Europe and growth in the Middle East, but heavily influenced by the impact in Russia and South Africa to where actually emerging Europe was down slightly in Q3. So basically mature Europe carried the day in the quarter and as I said that was driven by strong performance in the north.
Theodore D. Crandall: And you know, Julian I think though we've always said there are some normal variability in quarter-to-quarter results and I think the 1% this quarter in Europe would chalk up more to normal variability then we would to a significant change in underlying market conditions.
Keith D. Nosbusch: Yes, I think we continue to believe there is a slow steady growth in particular in the mature our European countries and I think the economic data in our product business performance would support that. And then we got the variability that Ted mentioned.
Julian Mitchell – Credit Suisse: Great, thank you.
Keith D. Nosbusch: You're welcome, Julian.
Operator: Thank you. The next line of question comes from Richard Eastman of Robert W. Baird. Please go ahead.
Richard C. Eastman – Robert W. Baird & Co., Inc.: Good morning.
Keith D. Nosbusch: Good morning, Richard.
Richard C. Eastman – Robert W. Baird & Co., Inc.: Keith, could you just give a perspective perhaps on your maybe two or three best-growing end markets in the quarter? I mean, for instance, how did auto hold up? And oil and gas was presumably your better market, but just two or three best markets?
Keith D. Nosbusch: Yes, well, I would say that in the quarter the best markets were oil and gas to your point, food and beverage and tire, would be the three best markets.
Richard C. Eastman – Robert W. Baird & Co., Inc.: And as your frontlog may or may not indicate, what does the auto and tire business look like as we trend through the fourth quarter and into early 2015? Are you fairly confident that we can maintain some growth there, whether it's low-single or mid-single-digit growth in that kind of transportation end market?
Keith D. Nosbusch: Well, I think it will be low growth, because it's at a high level. So, we are not going to see a meaningful acceleration, but we are expecting overall global that will have a stable low single-digit growth in transportation as we go through Q4.
Richard C. Eastman – Robert W. Baird & Co., Inc.: Okay and then, just one follow-up for Ted. When I do the incremental segment margins or incremental margins just in general, for the fourth quarter, they would appear to be pretty high. Seemingly, even at the midpoint, maybe above normal. And is that, again – is that driven by volume?
Theodore D. Crandall:
Richard C. Eastman – Robert W. Baird & Co., Inc.: Yes, okay.
Theodore D. Crandall: And it is driven by volume and also on a sequential basis, just not a lot of spending increase as we go from Q3 to Q4.
Richard C. Eastman – Robert W. Baird & Co., Inc.: Okay, all right, limited spending. Okay, excellent. All right. Thank you.
Operator: Thank you for your question. And, the next question comes from of Mark Douglass of Longbow Research. Please go ahead.
D. Mark Douglass – Longbow Research LLC: Hi. Good morning, everybody.
Keith D. Nosbusch: Good morning, Mark.
D. Mark Douglass – Longbow Research LLC: Keith, you mentioned that you're doing well with the OEMs in Europe. Does that imply that the OEM market is flat to down maybe in Europe? What's the market like right now, and what are your expectations for the market over the next few quarters?
Keith D. Nosbusch: If I left that impression that would be incorrect. The OEM market is growing in Europe. We are continuing to drive conversions. The fact that our European market was slightly up was more driven by the Solutions & Services variability that happens in the quarter, but we continue to see product growth in Europe. It's one of the reasons I mentioned motion had a good quarter which reinforces that also safety had a good quarter and that is also associated with success at OEM. So if you look at some of the European statistics and the most relevant one would be the German DD&A Association they projected a plus 3% growth for calendar 2014. So we’re still seeing growth in Europe in the OEM space and that's been quite frankly one of the highlights for us in Europe and the team there is doing a great job.
D. Mark Douglass – Longbow Research LLC: Well, I guess what I was highlighting is: How much are you outgrowing the OEM market itself? If it's 3%? Are you doing better than that as appose your – or total Europe.
Keith D. Nosbusch: I think we’re probably almost double the underlying market.
D. Mark Douglass – Longbow Research LLC: Okay. And then back on to process, are there challenges in executing your process initiative, or is it just happen to be the markets that you are exposed to versus the overall process automation space, because the process automation pace seems to be outpacing where your process growth is. Can you speak to that?
Keith D. Nosbusch: Well I think what you may be seeing is more from an order standpoint and as appose to sales, but I don't think – right now I would not say we are having execution problems in executing our process initiative at all. That is not what I would put it on, we don't see any greater losses in our project, the win rates stays consistent, we continue to expand the footprint and our ability to address more applications and more industries, in particular there I'm referring to our growing capabilities in the chemical industry and of course we don't participate in the power generation distribution or refining and those tend to be our large projects and probably a little more market awareness because of the size of those of those projects, but we think we’re doing just fine. Actually on a global basis in the process space and it continues to be our best growth opportunity so right now I would put it on timing and I would be the first to tell you when we believe it is not bad.
D. Mark Douglass – Longbow Research LLC: Okay, thank you
Operator: Thank you for your questions. The next line of question comes from Jeremie Capron of CLSA Please go ahead.
Jeremie Capron – CLSA: Hi. Good morning, everybody
Keith D. Nosbusch: Good morning Jeremy
Jeremie Capron – CLSA: A question on the Asia-Pacific region: You said business in China was down year-over-year. Yet we're seeing pretty solid growth from a number of automation companies that have a larger presence in the country. And when I look at your Asia-Pacific revenue this quarter, $221 million is flat year-over-year, but it's pretty much the same as two years ago, and it's still lower than three years ago. So I'm wondering, could you help us understand what's holding you back in that region, both in terms of the near-term dynamics and over that three-year period?
Keith D. Nosbusch: Well I don't have the three-year numbers here, so I can't comment on that fact and that's something we’ll follow-up with you on after the call, but with respect to the region, I would say our biggest challenge quite frankly has been India. And over the last couple of years we have seen significant reduction in our sales in India and that's probably been the biggest factor in the performance in the region. I think overall we continue to see growth opportunities in China, we are achieving growth in some of the mature markets, we've had good growth in Japan over that three year period and the only other one I would put in the category of India would be Australia and that’s where its been challenging obviously some of the strength in the Australian dollar over the last two years, the impact in mining and some of the decline of the manufacturing sector in Australia would be the other area where we see the weakness. So if you take out Australia and India, we still believe that we've been growing in the region and that our position has not been compromised or is significantly different than our competitors.
Theodore D. Crandall: Hey Jeremie this is Ted. The thing I would add and this strictly about China and strictly about the last year. We were down 5% in China, but we were up 16% sequentially in China in the quarter and year-to-date we’re up 8%. The sequential comparison or the year-over-year comparison in Q3 in China down five that's against the quarter last year when our sequential growth from Q2 to Q3 last year was 40%. So we believe the 8% year-to-date growth is much more indicative of our underlying performance and frankly the underlying performance of the market than the third quarter.
Keith D. Nosbusch: We don't think is much different than the competition in that regard either.
Jeremie Capron – CLSA: Okay, that's very helpful. Thank you. And Ted, as we've gone through the share buybacks, so you're running a little ahead of the initial plan, and you've got a new authorization out there. Should we expect the buybacks to continue well into next year?
Theodore D. Crandall: I think the expectation should be that we will continue to exhaust our free cash flow after acquisition spending on dividend and share repurchase. And so we will do that this year. We've may run a little but ahead of that depending on how cash flow comes in Q4 and depending on what we spend in Q4, but I think that's what your expectation should be going forward.
Jeremie Capron – CLSA: All right. That's very clear. Thank you very much.
Keith D. Nosbusch: Thank you.
Rondi Rohr Dralle: We are at 8:30 Central U.S. time here, but I think we’ll keep going for a couple more questions because we got a late start. Okay.
Operator: Thank you the next line of questions comes from the line of Steven Winoker of Sanford Bernstein. Please proceed.
Steven Winoker – Sanford C. Bernstein & Co.: Thanks for fitting me in and good morning
Keith D. Nosbusch: Good morning Steve.
Steven Winoker – Sanford C. Bernstein & Co.: Ted, just on the backlog question, I guess backlog is normally about 20% or so of next 12-months' sales and for, I guess, CP&S is like 30%. And for one quarter out, that number, is it closer to 50%, because what I'm trying to get at here obviously is just your confidence level in not just the backlog piece of this, but the non-backlog piece that's allowing you to forecast the significant step-up next quarter?
Theodore D. Crandall: Well Steve I think you know about roughly two thirds of our business is product sales where the backlog frankly isn't that important as a measure of performance in the next quarter. And a third of our business is Solutions & Services were with only one quarter to go the backlog is very important. So I would say on that third business, we have a pretty high level of confidence in our ability to deliver the sales and Solutions & Services. One the product side, I would say our confidence is less about backlog than it is about year-to-date performance in that business. The sales in order trends we saw as we came through Q3 and what we've heard from both our salespeople and our channel about expectations for Q4.
Steven Winoker – Sanford C. Bernstein & Co.: Okay, all right. That's helpful. And then on the incremental margin side, therefore, to get to that 40% to 50%, you mentioned it's mostly volume. Is there any risk? You mentioned the spending is up or flat sequentially. Does that mean also – sorry, year-on-year in Q4, is that about 5% or 6% again, or is that less year-on-year, the spending increase?
Theodore D. Crandall: I would expect the year-over-year increase in Q4 to be closer to 3%.
Steven Winoker – Sanford C. Bernstein & Co.: 3%, right. Okay. And the risk factor there very low at this point?
Theodore D. Crandall: Well I mean there are lot of factor that can influence the incremental margin, especially since it’s a kind of second order measure, but I would say on the spending side I don’t think there is a large risk of having a significant miss on spending.
Steven Winoker – Sanford C. Bernstein & Co.: Right. And pricing also?
Theodore D. Crandall: In pricing also I don’t think is, in terms of our assumption for the quarters I don’t believe are risky.
Steven Winoker – Sanford C. Bernstein & Co.: Right so it's back to volume. Okay. And sorry, one other sort of larger question, again. Ted or actually Keith on this, we've talked a lot in the past at prior Automation Fairs about the question of increasing competition on the process side as you guys have gained share and grown and other folks are trying to get their acts together there to come back. It's been a little while now. Are you seeing any kind of advancement in some of your competitive space here that's having any kind of impact on growth rates for you?
Keith D. Nosbusch: No I don’t think we had – we seen any change, we continue to compete based upon what we would call the modern DCS, which is plant wide optimization that we offer, its huge differentiator and then in some cases again certain process controlled companies we have intelligent motor control and in some industries that combination between control and power is very important and it’s a differentiator that we have. So we continue to be able to compete in both Brownfield as well as Greenfield applications, we certainly – it’s a tough market to your point, but we can feel that we can continue to grow share as we proceed and have it be one of the factors that gives us the opportunity to drive revenue growth.
Steven Winoker – Sanford C. Bernstein & Co.: Okay, great. I'll pass it on, thanks.
Keith D. Nosbusch: Thank you.
Theodore D. Crandall: Okay.
Rondi Rohr-Dralle: Thanks Steve. Annette, we are just going to take one last question here and then we’ll wrap up the call after that. Okay?
Operator: Okay. Thank you. The last question comes from the line Andrew Obin of Band of America Merrill Lynch. Please proceed.
Andrew Obin – Bank of America Merrill Lynch: Thanks a lot for squeezing me in. Can you just give in terms of growth through the quarter, I understand the comps issue, but did the growth accelerate, orders growth accelerate through the quarter or stable and sort of decelerated? And specifically, if you could comment what you are seeing in the U.S.?
Theodore D. Crandall: The quarter played out a little similar to Q3 and we did see acceleration as we went through the quarter in particular June was the strongest month in the quarter and we see that continue as we have gone into July at this point.
Andrew Obin – Bank of America Merrill Lynch: Thanks a lot.
Theodore D. Crandall: You are welcome. Thank you.
Rondi Rohr-Dralle: Okay. All right well. Yes sorry again for the delay at the start of this call. I appreciate your patience on that. We’ll try to make sure that doesn’t happen again and I’m available obviously for calls after this. So thanks for joining us everyone.
Operator: Thank you. That concludes today’s conference call. At this time, you may now disconnect. Thank you.